Operator: Ladies and gentlemen, thank you for standing by and welcome to the Duke Realty quarterly earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. (Operator Instructions) I would now like to turn the conference over to your host, Shona Bedwell. Please go ahead.
Shona Bedwell: Thank you, Marian. Good afternoon everyone and welcome to our quarterly conference call. Joining me today, Denny Oklak, Chairman & Chief Executive Officer; Christie Kelly, Executive Vice President and Chief Financial Officer; and Bob Chapman, Chief Operating Officer; Howard Feinsand, Executive Vice President and General Counsel, Mark Denien, Corporate Controller; and Randy Henry, Assistant Vice President of Investor Relations. Before we make our prepared remarks, let me remind you that statements we make today are subject to certain risks and uncertainties that could cause actual results to differ materially from expectations. Some of those risk factors include our continued qualification as a REIT, general business and economic conditions, competition, increases in real estate construction costs, interest rates, accessibility of the debt and equity capital markets, and also other risks inherent in the real estate business. For more information about those risk factors, we would refer you to our 10-K that we have on file with the SEC, dated February 25, 2009. Now for our prepared statement, I’ll turn it over to Denny Oklak.
Denny Oklak: Thank you, Shona. Good afternoon, everyone. Today we’ll cover four topics before we take your questions. First, I’m going to provide on over view of first quarter performance and steps we are taking to improve liquidity and repay debt maturities during the next four years. Next, I will introduce Christie Kelly, who joint us March 1, that an Executive Vice President and CFO. Christie, will provide future detail on these recent transactions, including our offering of more than $550 million in common equity. Then Bob Chapman, COO will cover significant transactions during the first quarter and describe the leasing market going forward. Finally, I’ll summarize our view of market conditions in our performance outlook for the rest of 2009. As you know, we continue to operate in a very challenging economic environment. We haven’t seen any signs of recoveries around the quarter nor do we believe that when the economy begins to recover, there will be a significant bounce back. In spite of these on going challenges, Duke’s first quarter performance met our expectations. FFO per share for the quarter before debt gains was $0.50 per share, compared with $0.57 in the first quarter of 2008. This decrease in FFO as a result of lower land and property gains, but core operations is remaining steady. Liquidity and leasing remain the company’s top priorities. We’ll cover liquidity in a moment. As far as leasing activity in general is concerned, our leasing activity is down substantially in all of our markets and product types because of the overall economic climate as you might expect. In both the office and industrial sectors, new leases signed were down about 30% during the first quarter, compared with full year average and 2008 and the first quarter of 2008. However, new leases grew steadily during each month in over a half of our new leasing activity for the quarter occurred in March. Bob, will go into further detail on this later on the call. I’m also very pleased to announce today that last week, we closed on the formation of a joint venture to develop a 460,000 square foot, $154 million state-of-the art cancer center for Baylor University Medical Center in downturn Dallas. Northwestern Mutual Life Insurance Company will be our joint venture partners in this significant project for Baylor. Northwestern will own 84% of the joint venture and we will own the remaining 16%. The project will be funded entirely with equity during the three year development cycle. MetCo construction, a Dallas-based company specializing in health care construction will act as general contractor. We will receive significant development fees during construction and will manage the facility after it is completed. This represents the fourth development project we’ve started for Baylor in the last 18 months. This project is an example of our commitment to healthcare as an essential element of our business strategy. On the fourth quarter call, I expressed to you our commitment to conserve and generate capital. I’m pleased to report that we made significant progress on this front during the past 90 days. Since December 31, 2008 we have raised more than $770 million in cash including the proceeds of the common stock offering that closed last week. We are working on additional secure debt transactions and property sales that will bring this number to more than $1 billion in cash by the end of the third quarter. If you will refer to page 28 of our supplemental you will that see we have proactively addressed our debt maturities through 2012 when you take into account the proceeds of stock offering and the anticipated secure debt financing and property dispositions. Now I’d like to introduce Christie Kelly. Christie joined us on March 1, with 25 years of experience at GE and GE Real Estate ranging from financial planning and strategic development to senior leadership roles, merger and acquisitions and information technology. Christy also spent some time on Wall Street. Christy hit the ground running at Duke, moving right into our recent equity offering. She’s going to cover the details of our recent capital transaction along with some of the changes to the supplemental report that we’d like to call to your attention. Christy, welcome to Duke.
Christie Kelly: Thanks so much, Denny, it’s great to be here and for all on the line, I look forward to meeting you all in person during the next several months. As Denny mentioned I would like to give you an overview of the company’s recent financing transactions. All of you know that despite the constrained capital market, the window opened during the past 30 days for REIT another strong public company to issue common equity. Duke took advantage of this opportunistically and issued 75.2 million shares of common stock on April 21 at a price per share of $7.65. The number of shares issued includes an over allotment option of 9.8 million shares. The offering raised $552 million in net proceeds for the company, a significant event in itself. We used the proceeds to pay down our unsecured line of credit, which increased availability on the line to $1.2 billion from $625 million at March 31. Almost as significant were three other characteristics of the offering, first our existing shareholder spot over 75% of the new shares, a powerful show off support for the company. Second, the offering enabled us to get in front of some new institutional investors and broaden our base of ownership and third, our offering was five times over subscribed. In addition, we obtained $156 million in ten-year secured debt financing during the first quarter and have executed a term fee for an additional $280 million and seven year secured financing. This would bring total funds raised during 2009 to more than $1 billion. We are negotiating for additional secured debt financing of approximately $200 million with $5.7 billion of in-service unencumbered assets in our portfolio. We have plenty of collateral to meet our secured financing objectives in this regard. The first quarter was a successful quarter for dispositions. We completed $62 million of asset sales including two office buildings in St. Louis aggregating 380,000 square feet. These two properties together with 14 acres of land were sold for gross proceeds of $61 million to Scottrade at a capitalization rate of 7.42%. We are also finalizing a deal with our partner, CB Richard Ellis Realty Trust to acquire three additional properties for our joint venture with them. Each property is a build to suit project for a single tenant. One building is a bulk warehouse; the other two are suburban office property, closing its schedule to occur in May 2009 and is anticipated to provide the company gross proceeds of $33 million. We are also in various stages of discussion regarding additional properties we have targeted for sale. Debt repurchases for further asset sales are expected to make up the balance of the liquidity producing activities and as of March 31, we had repurchased $208 million of outstanding unsecured debt at a discount to par of 20%. Overall, we are very pleased with the progress we’ve made in improving our liquidity during the first quarter. Finally, I wanted to point out a few changes to the supplemental report. First, we are no longer distinguishing between held-for-rental and built-for-sale property. This change reflects our desire to better communicate our view that a property is a property and we decide whether to hold or sell in order to maximize our investment in that property period. We believe this change provides more clarity to our portfolio report specifically on page 17 of the supplemental package now, includes all assets in our portfolio. With the exception of five projects that were started in 2008 or earlier and joint ventures formed for the specific purpose of developing assets for sale. Number two, there is a new FFO statement on page 13 that replaces the FFO components page and allows for easier reconciliation to the income statement. Third, we’ve added a new page titled supplemental and align information that contains supplemental NOI for the quarter by product type adjusted for non-cash and other items. This schedule is on page 18 of the supplemental. Fourth, we’ve added the years 2011 and 2012 to our liquidity analysis on page 28. Fifth, the development pipeline is now summarized on a single page with all pertinent information still included. This is located on Page 32 of the supplemental. Now, I’d like to turn it over to Bob Chapman, for an update on first quarter leasing activities.
Bob Chapman: Thanks, Christie and it’s great to have you here. We had some significant leasing activity during the first quarter although the difficult economic environment is clearly affecting results. Total leasing activity for the quarter was 4.7 million square feet, compared with 6.9 million square feet during the same period a year ago and 6.7 million square feet in the fourth quarter of last year. 2008 was a very strong leasing year for us. However, we obviously don’t expect a return to those levels for a while. Leasing activity moved up each month during the quarter, 800,000 feet in January, 1.8 million square feet in February and 2 million square feet in March. Half of the 2.4 million square feet in new leases we signed went on the books in March. Same-store NOI for the period inched downward just slightly by 44 basis points, compared with the same period last year. Same-store NOI was up 2.53%, when compared the 12 months period ended March 31, ‘09 and 2008. Overall in service occupancy at the end of the quarter was 87.8%, a decrease of 166 basis points from the previous quarter, but only 27 basis points short of the first quarter plan. Occupancy of stabilized in-service properties was 89.7% at quarter end, compared with 92.4% at year end 2008. Combination of lease terminations and the addition of five recently developed properties aggregating 2.5 million square feet that were 49.2% occupied at the quarter end contributed to the decrease. Overall, we’re seeing the economic environment to put pressure on our tenants. Having said that, tenant retention is holding up, 68% in the first quarter compared with 67% for the fourth quarter of 2008. At 2 million square feet renewals in the first quarter were inline with the average over the last five years. I would also point out that over one-third of our expirations for the year occurred during the first quarter. As you know, we virtually halted new development until the economy improves with the exception of Baylor Cancer Center, Denny mentioned and a medical facility in Austin Texas with project costs of $21.6 million. We’re continuing to manage pipeline risks aggressively. At quarter end, the wholly owned development pipeline consisted of only 17 properties, comprising 1.9 million square feet, that were 83% pre-leased with an anticipated yield of 8.5%. Ten of these projects are health care projects. We also have five joint venture properties under development, where we have an interest of 50%. The estimated project cost for these properties is $373 million with $158 million yet to be incurred and anticipated yield of 7.5%. These projects are 12% leased and all have construction financing in place. We signed several significant deals during the quarter including five industrial leases aggregating more than 1.3 million square feet in Cincinnati, Chicago, Columbus and Indianapolis. 180,000 square foot lease that covered an entire spec building in Dallas, which we executed the first week in January and reported during the last call and we leased more than 30,000 feet of medical office space in various markets, in Indianapolis, Dallas and Atlanta. Finally, the Base Reassignment and Closure Commission or BRAC project for the U.S. Army Corps of Engineers in suburban Washington, DC is proceeding on schedule. We formally broke ground in March on this $900 million project. Construction management fees and other income from this project will begin to pickup during the second quarter and throughout the rest of the production cycle until the building is complete in September, 2011. With that, I’ll turn it back over to Denny.
Denny Oklak: Thanks Bob. To close, I’d like to provide an outlook for the rest of 2009. As we’ve mentioned business was slow in the first quarter. As we visit with our sales force throughout the country, we’re starting hear that activity maybe picking up somewhat. However, we know it will be some time before we return to levels we are used to seeing. Until then we are continuing to execute on the plan, I’ve reviewed with you for several quarters, build capital and lease existing properties. With this background we are reaffirming our guidance today of between $1.42 and $1.64 of FFO per share as adjusted for the effect of the April offering, which was prior to the offering $1.85 per share to $2.15 per share. I’d also like to just point out a couple of the assumption that we announced on the fourth quarter call. We are assuming no gains from the sale of built-for-sale properties compared with $40.6 million or $0.26 per share in 2008. We are only assuming minor land sale gains. We’ve increased interest expense attributable to un-stabilized developed properties that have recently been placed in service and we are assuming slightly declining occupancy levels and same-store growth in 2009, compared with 2008. Also guidance does not include the income recognized and any of the debt repurchases, nor does it include the effect of any future impairment charges we might incur. We remain focused on preserving our strong balance sheet; increase liquidity we have built during the past 90 days and are confident with the steps we are taking will allow us to emerge stronger and better positioned than ever when the economy improves. With that we will open it up for questions.
Operator: (Operator Instructions) Your first question comes from Sloan Bohlen - Goldman Sachs.
Sloan Bohlen: Quick question for Denny and Christine as well, we’ve heard from a couple of your peers that the pool for life insurance that this year or new originations may dry up a little bit sooner than have in previous years. I wonder if you can comment on that given that you’re currently in negotiations on $200 million and what that changes in your expectations for the rest of the year?
Christie Kelly: First let me say, we signed a term sheet with one LifeCo for $280 million and we are expecting that we will have our commitment executed on that sometime during mid May. Diligence and visits to the property have been completed. So right now, we are just working on some of the remaining particulars, if you will, leading us to that commitment. For the remainder of the $200 million, we are close to executing on about a $125 million of that. We should be close to a term sheet here in the next week or so and the remaining portion of the portfolio we’ve had reverse inquiries on and are working with E-sales to market that and its have had a lot of interest. So, we view that by this summer we are going to be all tied up and we’re well on our way.
Denny Oklak: I would just add to what Christy said that based on what she just said were not really seems a lot of dry up in the market for us so far. We’ve been able to do or have commitments for what we really had planned to do for this year.
Sloan Bohlen: Then with regard to asset sales strategy going forward, what are you guys seeing in terms of what you have on the market right now, can you give us a characterization of the bidders that are showing up? I guess kind of the range in which you are seeing cap rates if you are willing to share that?
Bob Chapman: We don’t have that much on the market as we sit here today. We have a capital plan, where we are going to be out there executing, but those that we do have on the market we are seeing cap rates in the 8% to 10% range with I’d say descent activity, more on the industrial side than on the office.
Sloan Bohlen: Then lastly Bob, if you could just comment on the leasing that you saw in the quarter. You said 30% declines versus last year. Can you comment, maybe a little bit about how much of that has just been seasonal thus far? Where are you seeing, whether it’d be in office or industrial, more of the weakness?
Bob Chapman: Well, yes, I don’t see it as seasonal. It’s fallen off of the cliff right here after the Christmas season and it’s been pretty steadily slow, since then across the board both office and industrial and across the country. We’ll see some pickup in some bigger leases and then we’ll see some pickup on the smaller leases, but it’s pretty much been all over the board slow and tours are down. There is still some activity, but I wish I could report it was robust and strong, but it’s slow.
Denny Oklak: Yes, I think the encouraging sign was that, I’m glad we weren’t talking to you in January and February because we felt it was really slow then, but we did see much better activity not good. I’d say with much better activity in March and as I mentioned, I think that there is a little bit of a sense of optimism from some of our folks in the field, but again second quarter a little slow.
Bob Chapman: I mentioned this about renewals, we’ve been very, very active since the middle of last year on renewals and we’re seeing some of the benefits of that and getting out there early and talking to tenants. And with 2 million square feet leased during the quarter on renewals that speaks well to that. We still have 7% to go this year.
Denny Oklak: The other fact, I’ll just sort of reiterate here is that over about one-third of our overall lease expirations for 2009 occurred in the first quarter. So, our lease expirations for the rest of the year, if you look at the wholly owned properties is only 5% of that portfolio.
Operator: Your next question comes from Dave Rodgers - RBC Capital.
Dave Rodgers: Just to pin it down a little more given that March trends were better than the first two months of the quarter and you said people are optimistic, but can you put a little more color around April to-date?
Denny Oklak: April to-date, I would say is just sort of a steady month, we’ve signed some. What I would say is we’ve got some big ones that we’re working on to fill some bigger vacant spaces, which is a more positive sign than we’ve had in the last few months. But as you know December was our highest leasing month for 2008 and then it just really slowed down, but now we’ve seen some of those bigger deals comeback into the market, on the distribution side in particular.
Bob Chapman: Yes, I’d just add to that, to Sloane’s comment about the seasonality. I think, we are seeing a little of that because really nothing happens in the summer. So, to the extent anything is going to get done here in the next three or four months, it’s going to occur in April, May and a little bit in June.
Operator: Your next question comes from Michael Knott - Green Street Advisors.
Michael Knott: The 8% releasing spread on office struck me as higher than I would have guessed. Was there anything in particular driving that?
Denny Oklak: No, I don’t think there was anything specific, no one big lease in there, Michael. We’ll double check that and you can follow-up with Randy on that too, but I don’t think there was anything specific.
Operator: Your next question comes from Michael Bilerman - Citi.
Michael Bilerman: Can you talk about, you have this liquidity page and I apologize I jumped on late as well, Where you sort of lay out your sources and uses and on the sources, you talk about $1.1 billion of potential dispositions and joint venture contributions. Can you talk a little bit about, I know you are further along in clearly some of the asset sales, but when you look at the mix of your portfolio, if you have to isolate that $1 billion today, what would you be selling, is it your office, is it bulk distribution, is it potentially siphoning of the healthcare or is it markets you’re trying to get out of? If you have to build back up to that, where would it be?
Denny Oklak: Those projects are pretty much projects we’ve identified and we have a schedule and know where they are. A significant piece of that is what we would have previously referred to in our build for sale portfolio. As you recall, there was a number of properties there that we did always intend to sell and that’s probably 60% of that or 70% of that. Others, again that we’ve targeted are some; again with our long term strategy in our portfolio are some Midwest office assets. The one thing, I’d point out Michael is, we’re not looking to sale any big portfolios in that. That total is about 60 or 70 properties. I think the average size of the dispositions we’re anticipating is in the $20 million to $25 million range. So it’s going to be a lot of blocking and tackling and one offs. Obviously, the sale that we did in St. Louis was a user sale, bought two buildings. The CBRT is going to buy three more buildings and then again we’ve got offers on a number of projects that are out there today, probably today we’ve got offers on $105 million and we are negotiating a price or a letter of intent on another $130 million. So we are reasonably confident.
Bob Chapman: Yes, I’d just echo what Denny said about the size of the properties and to the extent there is debt financing out there, it’s at the local level with the local cities from local banks in smaller sizes. We are seeing interest and actually being contacted by people wanting to buy the $20 million to $25 million to $30 million properties, because they can get, now they can’t get 80% financing, but they can get 50% or 55% financing on those properties.
Operator: Your next question comes from Michael Knott - Green Street Advisors.
Michael Knott: I was also going to ask about your perception of the risk embedded in the assumption shown on the liquidity analysis in terms of the sales, just any thoughts you have there about if those don’t come through, as highly as you might have hoped, would you think about going back to the equity market or do you feel pretty confident that you can achieve that $1.1 billion of sales or JV contributions over the next few years?
Denny Oklak: Well, I’ will tell you first of all we do feel pretty confident about that. You look back historically; Michael and we’ve got a great track record on dispositions and capital recycling. We did over $500 million in 2008 and so we do feel pretty comfortable with this number, as I said we’ve have identified those. The other couple of things that I’d point out on that schedule, as Christy mentioned in her remarks, we have plenty of unsecured assets today and we believe that there’s still going to be access to the secure debt market and so, we could also generate additional proceeds there. Then the other thing I’d point out is when you look at this schedule, you can see that we’ve got very low balances or no balance on our line of credit now projected all the way out through 2012 when we look at this. So, we are very comfortable with all of options we have between now and then.
Operator: Your next question comes from Michael Bilerman - Citi.
Michael Bilerman: I just want to go back to this $1.1 billion in terms, I know you have identified all of it and I know you decided to collapse your built-for-sale and held-for-rental pool, because I guess I know you are just treating everything as one and largely out of the merchant built game, but just give a sense of how much assets are sort on sitting on balance sheet that were intended for sale previously. And when you look at this pipeline for sale or the development pipeline now identified just as pure development, how much of that is part of this $1.1 billion? I’m just trying to get a better sense of really trying to break it down versus future versus what’s already been sitting on your books, and then how much is actively being marketed today?
Denny Oklak: I would tell you that all of these identified properties are properties that are on our books today. We are not like assuming a sale of something we’ll develop later. So, these are all identified properties. As I mentioned, that today on our balance sheet, we are in the range of probably $600 million to $750 million, something like that of what were originally projects destined for sale and those are pretty much all included in that number. So, going back to your question, I think its 60% to 70% of that or so is in those properties. As you know, our strategy on those were single tenant buildings, well leased, long-term leases, high credit tenants, so we will sell those. There is a couple of joint venture properties that are in there for example, in our retail joint venture, which we’re estimating, we’re not going to sell anytime soon, but between now and 2012 we think we will be able to sell those. Just one other thing, Michael when you look at the 2009 number, we’re probably either have offers on those or discussions with letters of intent, I would say 70% of that today, and then the other 30% is really we’re just starting marketing.
Michael Bilerman: So nothing when we look at page 32, which is the development, the projects under construction, so the 370 that is fully owned and the 370 that is JV, of which your share is about 50%? None of those are included in the future sales numbers?
Denny Oklak: I take that back, those JV properties would be in that number that we ultimately expect to dispose of those at some point in time. As we said, in the prepared remarks that there is only five projects in there that were put in joint ventures and we and our partner intended to sale those originally.
Operator: Your next question comes from David Aubuchon - Robert W. Baird.
David Aubuchon: Two questions before I get tossed. The first is on the industrial side, it looks like the industrial product in general across a number of weeks has been pretty weak this quarter. Care to comment about, whether or not that activity surprised you on the down side and whether or not you think the industrial leasing will comeback assuming that the economy starts to grow again? The second question would be, if you’re assuming that you are carrying a zero line balance through 2009 and 2010, should we expect that you renegotiate the line early?
Christie Kelly: On the line balance, we are currently talking with all of the banks in the line and have a preliminary proposal from one and are working on a second proposal with another bank. Specific to that, based on our preliminary discussions view that our line will be in the $7 million to $800 million range and we will work to have that completed by Thanksgiving.
Bob Chapman: The industrial product, we do believe it will comeback sooner rather than later, but it’s still fairly, as I mentioned earlier, weak really across all markets. Small buildings, big buildings, there is really no differentiation between any of the product sizes or markets, but we will see that in our mind, coming back hopefully some time in later this year.
Denny Oklak: Again, if we look at our numbers the reason our industrial occupancy went down in the first quarter was that is where most of our lease expirations were in some bigger leases. As far as our anticipation, I think was part of your question, David. As Bob said in his remarks, we were within 27 basis points of occupancy at the end of March, of where we thought. So, really we were pretty much on target and our folks knew exactly, what was going to happen with those leases. As I said, I think that there is just some optimism and we’re actually in pretty serious discussions on some bigger industrial leases today, which is encouraging.
Operator: Your next question comes from Michael Knott - Green Street Advisors.
Michael Knott: I have a question on the bulk side. I apologize if you touched on this, but it looked like the pace of bankruptcies among your bulk tenants accelerated quite a bit from the full year ‘08 and it seems like the GAAP versus the office portfolio widened considerably. Can you just talk about trends you’re seeing in that particular part of your business?
Denny Oklak: That was really made up primarily of two tenants. We had a tenant in St. Louis that left about 200,000, 250,000 square feet and the other one was in Columbus. So, that was the bulk of those the issues there and that’s what we are seeing in today’s world. There are some issues out there.
Michael Knott: Do you expect that to come back down a little bit?
Denny Oklak: I wish I knew, Michael. How things are going to be, things are a little tough out there. We do hope that we stabilize. I wouldn’t say we’re terribly optimistic, but I think we have really spent a lot of time, Bob and his team have really spent a lot of time looking at all of our tenants and we think we have issues in. We think that will come out the next couple of quarters hopefully better than we did in the first quarter.
Operator: Your next question comes from Michael Bilerman - Citi.
Michael Bilerman: I just wanted to come back to you just guidance and actually before guidance I just wanted to clarify the, there was nothing in the built or house for rentals actually, the wholly owned developed pipeline that would be for sale in those numbers?
Denny Oklak: Yes, that’s correct.
Michael Bilerman: Just in terms of guidance, I know you’ve reiterated. Has there been any change in terms of some of the more, that had traditionally been more, volatile line items. I take it last quarter you wiped out most of them to zero and that’s what effectively was most in the first quarter, but I’m just curious there’s been any change to that?
Bob Chapman: No, there really hasn’t been any change. I would say the volatility this year is going to come on the rental income side based on what happens on the bankruptcy side or on the leasing side. That’s probably more volatile than usual this year.
Operator: Your next question comes from Michael Knott - Green Street Advisors.
Michael Knott: I also wanted to ask you about the development delivery schedule on page 33. In ‘07 and ‘08 there’s about $1.8 billion of developments that are about 70% leased. What are the prospects for getting those leased up in a relatively short period of time and then also can you remind us whether the yields that are shown there are sort of updated for current market conditions or whether those are what you underwrote initially?
Denny Oklak: Yes, I will make a couple of comments and Bob can chime in. I would say that, first of all, yes, those yields are updated. We do update those on a regular basis. Second, a lot of the vacancy in those two year’s are concentrated in a small number of properties just with a multi-industrial properties with bigger vacancies. So, I think a lot of that is do you hit the lease when you’ve got a 400,000  or 500,000 square foot building out there, do you hit that lease, it’s going to take it all or you get half of it, but I do think prospects are good. We have made good progress on this portfolio and I think my sense is we will see pretty good progress on this throughout the rest of the year.
Bob Chapman: The bad news is Michael it’s only 70% leased. The good news is this is the new shiny great locations and to the extent that projects are seeing activity, these are the projects that are seeing it. Dallas is a great example of that where we have two or three projects and here that are both buildings in Dallas and we have great activity on those buildings. It’s just getting the people to sign the deals and they start at 200,000 feet and then thy say they need 350 and then they come back and they need 175, and eventually they take something. So, we are pretty bullish about this portfolio leasing up.
Operator: Your final question comes from Michael Bilerman - Citi.
Michael Bilerman: I just wanted to ask a question on the new page on your supplemental on the NOI break down which is extraordinarily helpful on Page 18. When we’re looking at the un-stabilized in-service NOI, is that relate to exactly the 5.2 million square feet that’s on the prior page or does it have some tie to page 33 which Michael Knott was referring to in terms of the 1.5 billion of assets. Then, I don’t know if you do have the book basis of those assets that are in that pool.
Denny Oklak: It doesn’t report represent those projects that are under development. It’s just the 5.2 that you mentioned, I think previously. So, it’s just a 5.2 million. So it doesn’t include any of those other developments. The project cost for those are in the $350 million to $360 million range.
Michael Bilerman: Of total book basis for that pool and effectively if I’m thinking about this the right way, the when looking at page 33, these assets the 2008 deliveries have gone into service and so if there is a good part of those that are over 90% and then a good portion that are significantly below.
Denny Oklak: Yes. I mean that’s an average. So, you’ve got some above and some below.
Michael Bilerman: So, all of this stuff is in the service pool; right, either un-stabilized or stabilized.
Denny Oklak: That is correct, nothing under development.
Michael Bilerman: So there is about 13, 19 million square feet, 5 million of which is under 90% and the rest is above?
Denny Oklak: Yes, again there are a lot of different assets included in there. So yes, on average, I think that’s right.
Shona Bedwell: Okay, if there are no further questions, we would like to thank you for joining our call today. Our second quarter conference call is tentatively scheduled for July 28, at 3:00 pm eastern thanks everyone. Have a nice day.
Operator: Thank you, ladies and gentlemen. That does conclude our conference for today. Thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.